Operator: Good day, ladies and gentlemen, and welcome to the Quarter 4 2013 Marvell Technology Group Ltd. Earnings Conference Call. My name is Sean, and I'll be your operator for today. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. I would like to turn the call over to Mr. Sukhi Nagesh, Vice President of Investor Relations. Please proceed, sir.
Sukhi Nagesh: Thank you, Sean, and good afternoon, everyone. Welcome to Marvell Technology Group's Fourth Quarter and Full Year Fiscal 2013 Earnings Call. I'm Sukhi Nagesh, Vice President of Investor Relations. And with me on the call today are Sehat Sutardja, Marvell's Chairman and CEO; and Brad Feller, Marvell's Corporate Controller and Interim CFO. We will all be available during the Q&A portion of the call today. If you have not obtained a copy of our current press release, it can be found at our company website under the Investor Relations section at marvell.com. We have also posted a slide deck summarizing our quarterly results in the IR section of our website for investors. Additionally, this call is being recorded and will be available for replay from our website. Please be reminded that today's discussion will include forward-looking statements that involve risks and uncertainties that could cause our results to differ materially from management's current expectations. The risks and uncertainties include our expectations about our overall business, our product and market strategy, statements about market acceptance of our products, statements about general trends in the end markets we serve and future growth opportunities, statements about market share and statements regarding our financial outlook for the first quarter of fiscal 2014. To fully understand the risks and uncertainties that may cause results to differ from our expectations and outlook, please refer to today's earnings release, our latest quarterly report on Form 10-Q and subsequent SEC filings for a detailed description of our business and associated risks. Please be reminded that all of our statements are made as of today, and Marvell undertakes no obligation to revise or update publicly any forward-looking statements. During the call today, we will make reference to certain non-GAAP financial measures, which exclude the effect of stock-based compensation, amortization of acquired intangible assets, acquisition-related costs, restructuring costs and certain onetime expenses and benefits that are driven primarily by discrete events that management does not consider to be directly related to our core operating performance. Pursuant to Regulation G, we have provided reconciliations of non-GAAP financial measures to the most directly comparable GAAP measures in our fourth quarter and full fiscal year 2013 earnings press release, which has been furnished to the SEC on Form 8-K and is available on our website in the Investor Relations section. With that, I'd now like to turn the call over to Sehat.
Sehat Sutardja: Thanks, Sukhi, and good afternoon, everyone. Today, we reported fourth quarter revenues of approximately $775 million, a decline of 1% from the prior quarter. This was better than our expectations, as we saw increased demand from our Mobile, Wireless and Storage customers in the quarter. But we also delivered the following non-GAAP results for Q4: a gross margin of 53.2%, operating margin of 13% and earnings per share of $0.19. In addition, we continue to return cash to our shareholders as we repurchased roughly 34 million shares, totaling $283 million and paid $32 million in dividends during the quarter. Fiscal 2013 was a softer-than-expected year for Marvell. For the full year, our Storage business was -- performed better than the market as a result of share gains. But nevertheless, we have to navigate a year-over-year decline in the HDD TAM itself. On the Networking side, our business grew approximately 2% for the year, which was significantly better than most of our peers, who were down mid- to high-single digits for the year. In Mobile, we endured product transitions which negatively impacted our business for the year. However, we believe the worst is now largely behind us, and we expect Q1 to be the trough for our business. We are optimistic about our growth prospects for fiscal 2014 as we have multiple drivers that, we believe, will deliver sustained growth beginning in Q2. At this point, I would like to reiterate some of our target goals for the new fiscal year. By end markets, our goal in Storage is to continue to deliver better-than-market results through share gains in HDDs and growth in SSDs and hybrids. We are also targeting to grow at or better than the overall networking end market as we increase our focus in the carrier service provider space. In Mobile and Wireless, we are making excellent progress gaining tractions with our key customers and expect a rebound in revenue starting in Q2. On the capital return front, during fiscal 2013, we bought back approximately 16% of outstanding Shares and paid approximately $100 million in dividends. The combination of these 2 shareholder-friendly actions amounted to over $1 billion for the entire fiscal year and was approximately 70% in excess of free cash flow generated for the year. For fiscal 2014, we expect to continue to return capital to shareholders through both share repurchases and dividends. Now I would like to make some comments on recent progress we have made in our -- in each of our businesses. First in Mobile, we are making some progress on our product transition and are now well positioned to drive growth starting in Q2 from key customers for 3G and, later in the year, for LTE. I would like to provide a year-end update on where we currently stand on the adoption of our unified 3G platform. We have just started initial production shipments of our dual-core devices with leading OEMs for smartphones and tablet designs. In addition, we have recently introduced our new quad-core device for our unified 3G platform, which is already sampling to lead customers. We are expecting production shipments for this quad-core device this year. We continue to be focused on our target goal of 10% of WCDMA smartphone volume exiting Q4 of fiscal 2014, and we are making excellent progress towards this goal. Given our active engagements with leading smartphone OEMs, we are increasingly confident that the breadth of our technologies and our strong roadmap will help us achieve our target market share goal. Now as the world rapidly transitions to LTE, we are accelerating our LTE product commercialization process. We recently announced the availability of our quad-core-based FDD and TDD-LTE device, supporting global 4G broadband standards, as well as multi-mode 3G standards. We're already making significant progress on design wins in the global OEMs and expect commercial products based on these LTE device available this year as well. Next in wireless connectivity, we continue to see increased tractions with our 802.11ac portfolio of products. In Q4, we introduced the industry's first 4x4 11ac solution, targeting the enterprise carrier and access point market. This 4x4 solution is designed to ensure seamless throughput of high-bandwidth, multiple-stream HD video across service provider gateways and set-top boxes. This solution incorporates our proven beamforming technology, which greatly improving [ph] robustness and performance. We're already garnering significant traction for this solution with major enterprise and carrier customers. In fact, the majority of global carriers, including those in the U.S., are now starting to realize that the 4x4 11ac design is the necessary architecture for HD video distribution. Marvell is the only 4x4 11ac solution provider in the market today. In addition, in consumer electronic devices, our customers are upgrading their 2x2 11n wireless connectivity solutions with our 2x2 ac combo solutions, which provides better performance at similar cost. The transition to 11ac continues to expand the opportunity for wireless connectivity. And as a result, we continue to invest in next-generation connectivity technologies. We anticipate our connectivity business to deliver solid year-over-year growth in fiscal 2014. Next in Storage, we have made strong progress over the last year and expect fiscal 2014 to be a year of continued share gains in HDDs and growth in SSDs. The Marvell share in HDDs increased by roughly 5 percentage points in fiscal 2013 due to the ramp-up of our 2.5-inch, 500-gigabyte per platter devices at all the drive OEMs. We expect share gains on mobile platforms to continue over the course of the year. In addition to Mobile, we also expect to see a meaningful pickup in shipments on new enterprise platforms in next -- in the next few quarters. Furthermore, based on our advanced product roadmap and engagement with all of the HDD OEMs, we are well positioned for major new design wins for desktop platform this year. As a result, we are confident that fiscal 2014 will be another strong year of share gains for our HDD business. Moving to SSDs, our business grew roughly 40% in fiscal 2013, and we exited the year with approximately 50% share of the merchant silicon market. We are currently seeing excellent traction at major SSD OEMs for our solutions. Our focus in SSD has been on Tier 1 flash OEMs for customers with significant access to flash capacity. And we are currently seeing many of these customers starting to win in the market. In addition, we expect many of our customers to ship Marvell-based, dual-hybrid solutions to the market this year. In summary, for Storage, our continued investments are resulting in HDD share gains and growth in both the SSD and hybrid markets. Turning next to Networking. We have better-than-peer results in fiscal 2013. While we delivered modest growth for the year, most of our peers saw their networking revenue decline approximately mid to high-single digits. Our diverse product portfolio was key to our out-performance last year and has put us in a good market position for this new fiscal year as well. Growth in the -- in our Networking business in fiscal 2013 was driven by new products, such as PON and programmable network processors. Our customers are increasingly using our programmable network processors to manage both rising consumer bandwidth requirements and rising connected devices in the network. In addition, the change to programmable architectures is making software an increasingly key element, and our continued investment in software for networking has been critical in quickly enabling differentiated platforms for our customers. As for our focus in the Networking, we are continuing to invest in core networking technology for enterprise and cloud data centers and also expanding our presence in the carrier infrastructure market. For Networking as a whole, we believe we are well positioned to, once again, perform better than our peers in fiscal 2014. In summary, demand in Q4 was better than originally anticipated due to increased demand from our Mobile, Wireless and Storage customers. We continue to make strong progress in Mobile with both our 3G and LTE platforms. We are seeing new opportunities for our connectivity combo solutions across multiple applications. We're also making headway and growth in share gains in HDDs, SSDs and networking. Finally, we remain committed to returning cash to shareholders through our buyback and dividend programs. Now I would like to make a brief comment as it relates to the CMU patent litigation. As we have mentioned recently, we strongly believe that we did not infringe on the methods described in the CMU patents. Our products used our own patented 3-channel technology, which was developed in-house. As a result, Marvell has filed multiple, post-trial motions to overturn the jury verdict. And if necessary, we will go through the appeal process as well. The court is expected to render a decision on these motions in the May-to-June time frame. We have a detailed FAQ on our website, which may be updated from time to time. With that, I would like to turn the call over to Brad to go over our fourth quarter financial results and the first quarter outlook.
Brad Feller: Thank you, Sehat, and good afternoon, everyone. As Sehat mentioned, we reported revenues for the fourth quarter of fiscal 2013 of $775 million, a sequential decline of approximately 1% from the previous quarter. The better-than-expected revenue was due to upside from a Mobile customer and a late-quarter increase in demand from Storage customers due to build-aheads in advance of Chinese New Year. In Storage, our overall revenue increased 5% sequentially and represented approximately 50% of total share -- total sales. Our HDD business grew as we continued to take share in mobile platforms, as well as a benefit from pre-Chinese New Year demand. As Sehat mentioned, over the course of the entire year, we gained slightly over 5 percentage points of share in HDDs. In addition, our SSD revenue for the quarter was in line with our expectations and performed relatively better than our competition. We exited the year with roughly 50% share of the merchant SSD market. We expect to have incremental share gains in both HDDs and SSDs throughout the coming year. In Networking, our revenue was down 1% sequentially and represented approximately 23% of total sales. Our Networking business performed better than most of our peers for Q4 and for the entire year on account of growth at enterprise and carrier-focused customers. In Q4, our switching controller and 5 businesses were roughly flat in aggregate. We saw a modest demand slowdown in our PON business due to the late build-outs, which was offset by growth in network processors and ARM-based server CPUs. Our Mobile and Wireless end market declined roughly 11% sequentially and represented approximately 23% of overall sales. This was better than initially expected due to upside from our North American mobile customer, as well as increased demand from wireless connectivity customers for our 4x4 11n access point solutions. Moving next to margins and expenses. Our non-GAAP gross margin for the fourth quarter was 53.2%, which was slightly better than the midpoint of our guidance. Non-GAAP operating expenses came in at $315 million, which was at the high end of our guidance, mainly due to higher legal expenses related to the CMU trial. This resulted in a non-GAAP operating margin of 13% for the quarter. Net interest and other income was $6 million, and we recognized a tax benefit of $300,000 for the quarter. This resulted in non-GAAP net income for the fourth quarter of $104 million or $0.19 per diluted share. The shares used to compute diluted non-GAAP EPS during the fourth quarter were 544 million as compared to 578 million reported in the prior quarter, showing the benefit of our continued share buybacks. Cash flow from operations for the fourth quarter was $205 million as compared to $137 million reported in the prior quarter, and free cash flow for the fourth quarter was $161 million as compared to $113 million in the previous quarter. Now summarizing Q4 on a GAAP basis, we generated GAAP net income of $50 million or $0.09 per diluted share compared to $69 million or $0.12 per diluted share in the prior quarter. The difference between our GAAP and non-GAAP results during the fourth quarter was mainly due to stock-based compensation expense of $36 million and $13 million related to amortization of intangible assets and acquisition-related costs. Now turning to the balance sheet. Cash, cash equivalents and short-term investments were $1.9 billion, a decrease of $98 million sequentially. During the fourth quarter, we repurchased approximately 34 million shares for a total of $283 million. Over the past 10 quarters, we have repurchased and retired approximately 184 million shares or about 27% of our outstanding shares. We also paid dividends of $32 million in the quarter or equivalent to $0.06 per share. Net inventory at the end of the fourth quarter was approximately $250 million and declined about 23% sequentially, due mainly to higher revenues during the quarter. Days of inventory were 77 days, down from the 81 days reported in the prior quarter. This being our fiscal year end, I'll briefly summarize our results on a full year basis. Overall revenue for fiscal 2013 was $3.17 billion, a decline of 7% from the prior year. Our Storage end market declined 4% and represented 47% of total revenues. Our HDD business performed better than the 7% decline in the overall TAM due to share gains throughout the year and our SSD business, which grew about 40% year-over-year. Our Networking end market grew approximately 2% year-over-year, which was better than most of our peers as a result of share gains in both the enterprise and service provider markets. Our Mobile and Wireless end market declined about 15% for the year, as we endured continued soft demand from our North American customer and product transitions within the TD market in China. Despite these challenges, we ended the year with a solid balance sheet and relatively strong free cash flow margins for the year. On a non-GAAP basis, gross margin for fiscal 2013 was 53.4% versus 57% reported a year ago. Non-GAAP operating income was $486 million or approximately 15% of revenues compared to $784 million or 23% a year ago. Non-GAAP net income for fiscal 2013 was $498 million or $0.86 per diluted share compared to $795 million or $1.27 per diluted share reported a year ago. Turning to cash flow metrics. We generated $626 million in free cash flow for the year, representing a free cash flow margin of 20%. Moving next to our outlook for the first quarter of fiscal 2014. We currently project first quarter revenues to be in the range of $700 million to $740 million. At the midpoint of this range, this represents a decline of 7% sequentially. We expect Q1 to be the trough for our business, with growth starting again in Q2. By end market, we expect Storage to decline mid-single digits sequentially, due to seasonality and the Chinese New Year-related slowdown. However, we do expect our SSD business to grow double digits in Q1, as we continue to gain share in the market. We expect Networking to decline approximately mid-single digits, mainly due to a weaker demand environment. Finally, we expect Mobile and Wireless to decrease mid to high teens sequentially, mainly due to seasonality in demand for our wireless connectivity products. We currently project non-GAAP gross margin in the range of 52.5% to 53.5% and currently anticipate non-GAAP operating expenses to be in the range of $300 million to $320 million. We anticipate R&D expenses of approximately $250 million and SG&A expenses of approximately $60 million. At the midpoint of our projected guidance, this should translate to a non-GAAP operating margin of approximately 10%, plus or minus 1%. The combination of interest and other income should net out to approximately a $2 million benefit. Tax expense should be approximately $2 million. We currently expect the diluted share count to decline to approximately 530 million shares. This share count does not reflect any share repurchases we may undertake during the quarter. Taken together, we currently project non-GAAP EPS to be about $0.14 per diluted share, plus or minus a couple of pennies. On the balance sheet, we currently expect to generate between $25 million to $50 million in free cash flow during the quarter. We anticipate our cash balance to be about $1.9 billion, excluding any M&A activity, continued share buyback or other onetime items. We currently expect our GAAP EPS to be lower than our non-GAAP EPS by about $0.10 per share. About $0.07 of this is related to stock-based compensation expense. With that, I would like to turn the call over to the operator to begin the Q&A portion of the call.
Operator: [Operator Instructions] Your first question comes from the line of John Pitzer of Credit Suisse.
John W. Pitzer - Crédit Suisse AG, Research Division: Guys, just relative to your commentary that you think the current quarter is the trough, that you'll see a resumption of growth in the fiscal second quarter, I'm wondering just if you could give us a little bit of color by end market why you're confident about the growth going into the second quarter. What's the expectation for Storage versus Enterprise versus Mobile and Wireless? And how much of that do you think is just purely cyclical relative to what's going on in the overall industry versus some company-specific product cycle drivers?
Sehat Sutardja: Yes. I think both of the answer is both of those are partly cyclical, okay. Q1 is always a low number for us and with respect to [indiscernible] compared to Q4. So with respect to the growth, okay, in Q2 -- starting in Q2, okay, we do, okay -- our progress in our 3G -- unified 3G platforms will help us there to grow in Q2. Our new design wins since 11acs, okay, will start to benefit, okay, in Q2 as well. So the share gains in HDDs and hybrids and SSDs and also in enterprise -- so okay, okay -- so Q2 will -- okay, Q1 -- that's why we felt that Q1 is a trough for us.
Sukhi Nagesh: So John, if you look back -- this is Sukhi. If you look back in time, right, and Q2 always is a July quarter for us, and you know there's some seasonal uptick in Storage. In hard disk drives, there's definitely share gains that we're going to experience that will do -- that will help us do our -- help us deliver Storage with an excess of what the market growth ph] and then like Sehat mentioned, we should see a pickup in Mobile and the connectivity set of business, as well as due to new programs.
John W. Pitzer - Crédit Suisse AG, Research Division: And then as my follow-up, Sehat, you mentioned that the SSD market that you thought you exited the year was about 50% market share in the merchant market. Can you give us a sense of how much of your Storage business is SSDs? How much of the overall market is merchant versus captive? And I guess, importantly, how you see that trending over the next couple of years? And what's the catalyst to get some of the captive market into the merchant market?
Sehat Sutardja: Yes. First, okay, we did not split the SSD versus HDD, okay. We always say that SSD is still a smaller part of our HDD business, so it's not very -- it's not going to be productive for us to talk about the percentage. Maybe there will be a time when they're maybe 50-50, then we can talk about it. But at this point, it's really -- we have decided from day 1 that we'll not talk about it. What was the second question?
Brad Feller: Yes. So John, in relation to the transition to SSDs, it's really a market for us, and it's probably due to the declining prices of SSDs. As they continue to go down, that will drive incremental volumes. That's also I would think the hybrid market, being in the middle of HDDs and SSDs, will be a nice source of growth for us as well.
John W. Pitzer - Crédit Suisse AG, Research Division: Both of you guys, just help me understand. How much of the market for controllers today is merchant versus captive?
Sukhi Nagesh: So John, last year about 1/3 of the market was captive, if you will, 2012, right? And I think if you look at most industry analyst reports, last year, there were between 30 million to 35 million units, SSD controller units, that were sold, which is roughly, what, about 5% of the overall market, so very small, right? And this year, I think, if you look at those forecast itself -- there is all kinds of forecasts out there and it could be anywhere from growth [ph] to 50% to 100% year-over-year for SSDs this year. And like Brad mentioned, a lot of that is dependent really on how much the price comes down. Needless to say, we're doing quite well in that market.
Operator: Your next question comes from the line of Harlan Sur, JPMorgan.
Harlan Sur - JP Morgan Chase & Co, Research Division: Sehat, on the reacceleration on growth in Mobile and Wireless that you anticipate in Q2, you talked about the continued ramp of your unified 3G platform. Is the ramp in the unified platform both TD and WCDMA smartphones? And then you also talked about 20-plus smartphone customers qualifying your unified platform. So I think it does give you guys fairly good visibility. So I guess, how confident are you that your Mobile business will grow quarter-on-quarter for the remainder of the year, given the design win visibility that you have? And then, I have a quick follow-up.
Sehat Sutardja: Sure. The platform is, okay -- the 3G is both, okay -- the ramp is on both the 3G standards, meaning the WCDMA and TD-SCDMA standards. So it's the same. To many of our customers, they are the same design. In fact, okay, we also mentioned that in smartphones as well in Mobile, again, to many of our customers, the design is actually the same. The same chip goes to the tablets as well as smartphones. So this is the reason why we are -- our teams are very excited. Because this is for the very first time in our history that we're able to build products, okay, products that could easily be supported to many different applications. And also - we're also very excited because, okay, not just, okay, we have the dual core, so we also the quad-core device. So it's pin-to-pin compatible. So again, our customers can quickly go ramp up productions. We see the impact this year. We're going to the production in -- for the quad-core device as well. So again, for -- it doesn't matter whether it's for tablet or for smartphones. So -- and finally, okay, on the LTE side, okay, we're also going to production this year, again, using the same platform to build those products. So our -- so a lot of these design wins are happening. We mentioned the last quarter about a few of the Tier 1 OEMs, okay. They're working on our headsets, and we are extremely focused on making sure those Tier 1 OEMs will be able to go production as soon as possible. So that's why we are -- we're, okay -- we are putting a lot of efforts in our engineering efforts to support those Tier 1 OEMs to bring those products into the market. And okay -- we, okay -- we believe that, okay, our engagement with these Tier 1 OEMs, we'll be able to, okay -- through this engagement of these Tier 1 OEMs, we'll -- by the end of the Q4, we could, okay -- we will be able to, okay, to -- I mean, to help us to achieve the 10% goals that we put on ourself late last year.
Harlan Sur - JP Morgan Chase & Co, Research Division: Okay, great. And then from a financial standpoint, the team commented on the last call to keep OpEx dollars relatively flattish this year over last year. Are you still committed to that? And if you are, are you still going to be able to commit the required resources to maintain the momentum you have in Wireless? And are those additional R&D resources coming at the expense of other programs or initiatives?
Sehat Sutardja: Yes. I'll let Brad answer more about it.
Brad Feller: Yes. Harlan, we're absolutely still committed to maintaining OpEx flat year-over-year. To address your question about having the right level of resource to continue the momentum we have, we have that. We'll do some product prioritization efforts that we've already undertaken, and that will allow us to continue to grow and keep the OpEx flat.
Operator: Your next question comes from the line of Ruben Roy, Mizuho Securities.
Ruben Roy - Mizuho Securities USA Inc., Research Division: Sehat, I just had a question on the Mobile and Wireless business. If you look at the North American customer strength in Q4 and then you look at the guidance for Q1, I'm wondering if the other part of the business, TD-SCDMA, is doing a little bit better as you look into Q1 or -- what are the dynamics there? And longer term, what are the expectations for the North American customer?
Sehat Sutardja: I'll answer the -- okay, I think, the longer term of the North American customers, we have very good relationship with these North American customers. So we are working very, very closely with them on multiple front ends -- fronts. So we are very -- okay, we have -- okay, we will have products that will support the -- their next operating system, OS, as well as to serve their needs in future LTE products as well. So okay, the -- our problem -- okay, our problems, okay, in our revenue -- okay, the drop revenue with them for the last year, okay, hopefully, will recover itself, okay, toward the end of the year, as we ramp up the -- to the new programs and as we introduce the LTE products with them as well.
Brad Feller: And Ruben, to address your question on TD, so Q1 should be the tail end of the product transition that we've talked about the last couple of quarters. You should start to see revenue grow in TD in Q2. We expect that market to grow, and we expect to do well at the high end of the TD market this year.
Ruben Roy - Mizuho Securities USA Inc., Research Division: Okay, that's helpful, Brad. And then to shift over to the Networking side of the business, the PON weakness in Q4, was that inventory-related? Or is there anything going on competitively? And do you think your PON business is going to grow year-over-year for 2014?
Brad Feller: Yes. So Ruben, it's not an inventory issue. It's a decision by a government agency in terms of when they're going to grant a build-out to a certain customer of ours. So it's really just a timing thing. We expect our PON business to continue to do well this year and be a good business for us.
Operator: Next question comes from Glen Yeung of Citi.
Glen Yeung - Citigroup Inc, Research Division: I just want to ask a question about the magnitude of the beat [ph] in the fourth quarter. I guess, it's almost $55 million more than the midpoint of your guidance. And I understand, as you say, it comes from a lot from your North American Mobile and Wireless customers. So what I'm wondering is if you can quantify, in some way, exactly how much of the beat [ph] came from that customer? And then two, I heard your answer just now about coming back with that customer. But is that customer expected to decline then in the next quarter and -- or maybe to say it differently, what's the pattern you expect from that customer over the course of the year?
Sukhi Nagesh: So Glen, I think it was a combination of all 3. The upside of $55 million, if you will, or the midpoint, there was upside from our Mobile customer in North America. There was upside from Storage. There was upside from wireless connectivity. I don't think we -- we're not breaking out exactly what -- how much was from each. But it was definitely a combination of all 3.
Brad Feller: And related to that customer, specifically, we expect the BB7 sales continue to be -- to continue to be good this year. And later this year, as the BB10 devices with our products start to launch, we should see some upside there as well.
Sukhi Nagesh: So to your other question, Glen, about Q1, we didn't guide Q1 to be down and Mobile and Wireless to be down mid- to high teens. Obviously, that incorporates a seasonal aspect to the relative decline of that customer.
Glen Yeung - Citigroup Inc, Research Division: Okay. Second question is, I guess, for Sehat. And you mentioned in your prepared comments your programmable network processors and the opportunity there. I wondered if you can just discuss with us what you think the opportunity is; where you're positioning those processors, be it high end or low end; and what risk you see from captive solutions in that market.
Sehat Sutardja: Yes. So this programmable network processor really target the very, very high-end service providers carrier space, where they need to have -- be able to change the kind of services they provide on a continued basis. So also people, they can change the requirements at a -- with a short lead time. This is the reason why this -- the programmable network processors are getting -- starting to get tractions into this market. Now it also helps that these programmable network processors are becoming somewhat a lot more powerful, like hundreds of hundreds of processors -- programmable processors in a single chip. So in the past, okay -- in the past, when we're dealing with limited number of processors, the applications are quite limited. It's too expensive. It's too power-hungry. Now it's okay with the solution that we provide. More of the application, they used to be served by fixed engine, but that now can be upgraded to more programmable functions. So we believe this, okay, this opportunity is going to be -- will -- can only continue to grow as the consumer demands keep increasing to be more -- becoming more challenging. So this is why we're investing heavily in this area.
Glen Yeung - Citigroup Inc, Research Division: So Sehat, just in your opinion, do you think the low end of the market will become more of a captive market and the high end will become a merchant market?
Sehat Sutardja: The low-end market, okay -- so the -- when we say the low end, it means like the fixed functionality. So we're also building those fixed functionality of communication device. But we don't call it network processors. We call it switchings and packet processors. And so those are that one we targeted for the data centers. So they are not -- they are -- we call it low end because they're not -- they are not really low end, actually. They have very high performance, just they are not as programmable in nature as in the carrier space.
Sukhi Nagesh: They're more ASIC.
Sehat Sutardja: And some of them also are more ASIC, yes. Now okay, so it depends how you define it, okay. If you define it on the throughput, a lot of this fixed switching, the effect of processor could have orders of magnitude higher throughputs compared to these programmable network processors. But if you look at the pricings, okay, the pricings, okay, is the opposite. Okay, the programmable processors are a lot more -- a lot -- have a lot bigger die size and as a result, they command higher prices.
Operator: Your next question comes from Blayne Curtis of Barclays.
Blayne Curtis - Barclays Capital, Research Division: So I was wondering, Sehat, if you could just clarify the -- you're talking continued share gains in the hard disk drives. It seems like if you listen to your competitor, seems like you pretty much have the majority of the 2.5-drive market at this time. So I was just curious if that's your thoughts. And then, where do you see the opportunities outside of enterprise?
Sehat Sutardja: Right. If you look at why we continue share gains okay, the share gains, okay, will naturally -- we will naturally continue to have share gains, because as our customers, okay, transitions the 320 gigs per platter, 2.5-inch production to 500 gigs productions, okay, we will have that share gains. And their transitions, okay, has not completed yet. So the transition will continue to happen, at the very least, toward the end of this year. If not, even a few quarters of the next year as you could suspect [ph]. Okay, not everybody will -- not everyone of the end customers will switch from 320 to 500 gig overnight. Now on the -- so that's why we are [indiscernible] we'll continue to share gains, and -- as well as the, okay, on -- now on the enterprise with new products, okay, as -- are being shipped to the customers, we'll continue to have share gains in the enterprise.
Blayne Curtis - Barclays Capital, Research Division: And then on the connectivity side, you're looking for growth this year. Where do you see the biggest opportunities for you? Is it more tablets? Do you that -- are you -- is it attach rate with your modem? Or is it other opportunities?
Sehat Sutardja: Yes. So the 4x4 devices, okay, are targeted for -- the 11ac 4x4 devices are targeted for the enterprise class, as well as for video distribution in the home set-top boxes. The 2x2 11ac devices are targeted for people that cannot afford to pay for the 4x4. But they still want to have the higher performance of the beamforming capability of the 11ac device. So those are the more targeted for the high-end tablets, game machines and the entry levels of the access points.
Sukhi Nagesh: And Ultrabooks as well.
Brad Feller: Yes. So we -- Blayne, we expect growth in all those different areas. So as our Mo business starts to ramp, we'll have the connectivity in those devices. We'll see more tablets and Ultrabooks launch this year, as well as the high-end access points.
Operator: Your next question comes from the line of Doug Freedman, RBC Capital.
Doug Freedman - RBC Capital Markets, LLC, Research Division: Could you give us a sense of how you see the market transitioning HDD to SSD and hybrid and what that does to the content per unit that you guys will see as a result of that transition?
Sehat Sutardja: Yes. So we've been saying this for the last -- I think we have this question for almost the last -- for several years already. So we, okay -- we've been consistently saying that, as the price of the flash continue to drop, the adoptions of SSD will continue to increase. So we've been -- what we have seen, okay, in the last several years is exactly that. Now along the way, obviously, in order to make that happen, it's not just cost. But we also to have to build more advanced SSD controllers to tackle the degradations of the performance of the life cycle of the flash, as they shrink the die size for them to achieve lower-cost structures. So those increased complexity, they will actually -- because of this increased complexity of the technology requires to serve these modern days of flash technology, okay, what you see is these chips are actually more complex than standard HDDs. So as a result -- HDD controller, I mean. As a result, okay, you see the ASP of these chips tends to be higher than, okay -- or compared to the -- compared to HDDs. So you see ASP bumps, as a result. Now not -- but we also say that not every customer can afford to buy SSDs. So there's always a natural limit what the world could support to buy SSDs. So -- and now our guess is 20%, 25% of the market could be -- eventually could be SSDs. And the rest will be more like hybrid solutions. So people, they can only afford to buy a small, standalone SSD, let's say, 24 gigabytes or 32 gigabytes and then coupled with, okay, ultra low-cost 500 gigabytes today, single-platter HDD maybe a couple years from now, 1 terabyte of single-platter HDDs. And so those customers -- the vast majority of people in the world will more likely to be served with hybrids. Now okay, eventually, those hybrids, okay, will be integrated into a single-chip solutions, when the volume is high enough, when it makes sense to build a single-chip device. So at that time, okay, probably, okay, could be -- practically, every chips will be hybrid. But that's several years from now, and they will increase the ASP also as a result. So in the long run, actually, the trends of, okay -- the success of SSD, actually, is going to help us in terms of ASP, for -- even for the HDD hybrid chip.
Doug Freedman - RBC Capital Markets, LLC, Research Division: Great. And for my follow-up, it's actually a very similar question. But what are you seeing as far as your ASP per unit opportunity in the mobile market as you transition CDMA to WCDMA into your LTE solution, your dual and quad core? What are you seeing as far as your ASP opportunity? And how should we think about, as that business grows, what impact that will have on gross margins?
Sehat Sutardja: Yes. So the LTE ASP opportunity is significantly better for us because the LTE, by nature, is, okay, is a lot more complicated. And we, as one of the early players in the market, invested in LTE. Okay, we will be able to tap into the demand of the LTE and also the higher pricings that naturally happens in that market. So if anything, okay, if you're talking about the ASP, okay, our, okay, our belief is, okay, that's when -- that's where the money is going to be made, okay, in this space.
Sukhi Nagesh: So Doug, I think -- so then, Doug, I think, if you go from dual core to quad core to LTE, typically, probably, obviously, we'll get a ASP increase. Remember, we'll always selling a complete platform solution, right? I mean, that includes connectivity. It includes RF. It includes TMXL[ph]. On a like-for-like basis, LTE will definitely command a price premium over our 3G solution.
Doug Freedman - RBC Capital Markets, LLC, Research Division: Can you give us some sort of a percentage of how much we're looking at the delta there?
Sukhi Nagesh: You know what the market leader in the market today charges. It will be below that, but it will be higher than what we have.
Operator: The next question comes from Chris Rolland of FBR.
Christopher Rolland - FBR Capital Markets & Co., Research Division: You mentioned that you thought you're going to pick up share in SSDs, not only next quarter, but also in 2013. And some of our checks have sort of indicated that you guys were benefiting in part because of delays in your competitor's third-generation controller. And I guess, firstly, would you say that, that's accurate? And then secondly, what sort of gives you guys confidence that you can get gains in 2013, particularly, because we haven't seen that next controller yet? We don't know if there's going to be any special sauce or whatever. Does your confidence come on the back of design wins into a particular SSD OEM, and perhaps, growing designs into a particular PC OEM? Sort of where does your confidence come from there?
Sehat Sutardja: Okay. I think maybe to answer this, okay, it's -- maybe it's good to -- for us to -- let me explain how we develop SSD. How do we take care of this business? If you look at SSD controller, it's no different than HDD controller. We actually built this -- the products a year or even sometimes 2 years before we have the -- before the customer brand. So for the products that we are ramping today, that's the product that we built a year or 1.5 years or 2 years ago. So we do have even more advanced SSD controllers today. The pipeline in the engineering with customers sampling, okay, they will not see production for another couple of quarters or even a year later. We could even -- even we have products there, we will not see product production for another year later. So we're talking about products that our customers are trying to introduce in the next couple of quarters. That should be compared against our products that we're sampling today or the next quarter.
Sukhi Nagesh: Or something we developed last...
Brad Feller: Yes. So yes, so it doesn't -- in short, it doesn't relate to the competitor in terms of their timing and those kinds of stuff. It's -- we've chosen to partner with a lot of the top-tier flash OEMs and we're seeing them be very successful in the market.
Christopher Rolland - FBR Capital Markets & Co., Research Division: Okay, great. And I guess, more of a housekeeping issue here on the legal expense, does it ramp from here? Is it sort of a steady state for a while? And assuming that it's not overturned in post-trial motions, do you guys have any sort of a sense of how long this appeal process might take and what some of the legal expenses might be incurred on a run rate per quarter? Do you guys have any sense of that?
Brad Feller: Yes. So you shouldn't expect our legal expense to grow related to the trial or anything else. In relation to your question about timing, ultimately, the appeals process could be up to 2 years. So as we mentioned in the remarks, the post-trial motions will be -- the judge will rule on those in the May-June time frame. Assuming she doesn't overturn it at that point, it will go to appeals. And it's really hard to say how long that could be. But it's likely in the 18 months to 2-year time frame. You won't see a noticeable increase in legal expenses per se.
Sehat Sutardja: And I think those are the numbers that I was given, and I've seen some examples from other companies in the past.
Christopher Rolland - FBR Capital Markets & Co., Research Division: Okay, it'll be nice to see that overhang go away.
Brad Feller: I agree.
Operator: Next question comes from the line of Steven Chin, UBS.
Steven Chin - UBS Investment Bank, Research Division: First one, if I could, on your storage controller strategy technology standpoint, I think it's pretty well-understood that in addition [ph] To the latest process nodes, it's typically a good thing for you hard drive SSDs. I mean, if you could talk a little bit about the status of the 28-nanometer generation of hard drive SSDs? And secondly, for all-state drive SSDs, could you talk about your enabling process for 20-nanometer or 19-nanometer generation NAND flash?
Sehat Sutardja: Okay. So I couldn't hear your questions very clearly, so I assume your first question is related to 28-nanometer HDD products?
Steven Chin - UBS Investment Bank, Research Division: Yes, that's correct.
Sehat Sutardja: Okay. So 28-nanometer HDDs, I think, in the -- it's in -- the ramp to the customers should be some times this year. Okay, the silicons, okay, to those customers were delivered about more than a year -- about a year or so ago. So I do expect, okay, by this year should be ramping in volume. So what's the second question?
Sukhi Nagesh: SSDs, right? Steve?
Steven Chin - UBS Investment Bank, Research Division: That's right, SSDs in terms of whether or not your SSDs are actually supporting the latest 19- and 20- nanometer generation of NAND flash?
Sehat Sutardja: Oh, yes, yes, yes. So the -- okay, the -- so you're talking about like 2x nanometer of SSD, 1x -- I'm sorry, the 1x nanometer, the 19-nanometer or 20-nanometer process nodes. Most of our customers okay -- the customers in production in the last couple of months or so are shipping products with the -- either the 20-nanometer or the 19-nanometer nodes, okay. So the 1y nanometer will not be ready for another 6 months or 9 months or so, okay, for production. So that probably will be in production closer to the end of the year.
Steven Chin - UBS Investment Bank, Research Division: Okay, that's very helpful. And just one quick one on the wireless business, just in terms of the new products that you announced this past week, the quad-core chips for the 3G unified and LTE platforms, I noticed that you guys were talking about Cort -- at least, for the 3G unified chip Cortex-A7-based product. Is that a shift in the product strategy where you guys are using more end cores from ARM as opposed to using your internally developed?
Sehat Sutardja: Oh, yes. Okay, so our strategy is to have both processors, okay, for the, okay, for -- our internal team is not -- okay, our internal -- compared to ARM teams nowadays, okay, now our team is [indiscernible] maybe smaller than the ARM team. So it is wise for us that we focus our internal team to build the very highest-performance processor. They're basically -- they cannot be bought through the standard ARM root. And therefore, products there people only cares about checking the boxes, like they want quad cores. Okay, we will just use a standard processor. That will be -- there's no point for us to build yet another standard simple processors. It will -- they will only just increase our expense for no reason. So using standard processors in, okay, in those markets make a lot of sense. And then in those, okay, super high performance, okay, that's where we'll use our own internal processor developed in-house.
Operator: The next question comes from the line of Srini Pajjuri.
Srini Pajjuri - CLSA Asia-Pacific Markets, Research Division: Sehat, in the last quarter, you mentioned that Seagate notebook design win is about 30% ramped. I'm just wondering where we are in the DRAM right now and also how you see that progressing. And the other question I have is that, if you're gaining share in HDDs and SSDs are growing double digits in Q1, why guide down mid-single digits, especially, given that TAM is relatively flat?
Brad Feller: Yes. So Srini, let me address that. So in terms of the penetration rate on the notebook side of that customer, it's now greater than 50%. So it continues to grow for us. In terms of the guidance for Q1, the biggest impact there is, Q1 is always a seasonally down quarter for us. The other impact is Chinese New Year. So we talked about some of the customer -- customer's pulling [ph] Billing a head in advance of Chinese New Year. That's having a negative impact on our Q1.
Srini Pajjuri - CLSA Asia-Pacific Markets, Research Division: Okay, fair enough. And then on the wireless side, Sehat, the target that you have to achieve 10%, can you give us an idea how -- what the linearity of that ramp will look like? I mean, you did say that Q2, you expect the ramps to start. I mean, are you expecting most of the design win volume to come in late in the year? Is it going to start in Q2 kind of -- and that's going to be fairly linear? Any color you'd provide would be useful.
Sehat Sutardja: Sure. Okay, it is going to be mostly closer toward the -- to the end. Because usually, what we'll see is, okay, a few customers, okay, that want to go production first and then there will be -- and then followed by other customers. There tends to be not as advanced or customers, they like to wait and see until somebody else go to high-volume productions. So as a result of this typical behaviors of the customers, you'll see that, okay, that the volumes will pick up more and more as time progresses. Now even we talk together with the -- even for the very first customer, okay, you also -- okay, I do -- even that, I do expect as they build more and more devices. Initially, they build a single device and then they build 2 devices and then third devices and fourth devices. And then only, okay -- only times can solve their problems. So as time progresses, they have more devices, and the volume also increases naturally over time as they have more products in the pipeline. So that multiplier effects will happen even naturally even for a single customer. [indiscernible]
Srini Pajjuri - CLSA Asia-Pacific Markets, Research Division: Yes, just a quick one for Brad. Brad, you said your goal is to maintain the OpEx relatively flat. I just want to clarify that. Is year-on-year? Or are you suggesting that OpEx is going to be flat on a quarterly basis from here on?
Brad Feller: Yes. So there'll be some fluctuations quarter-to-quarter, Srini. But the goal is to keep it flat for the full year.
Operator: The next question then comes from Romit Shah of Nomura.
Romit J. Shah - Nomura Securities Co. Ltd., Research Division: I just want to get my arms around the 10% target for WCDMA market share. Some of the third-party forecast we've seen pegged the market at about 800 million units of this year, which would then imply that you guys are targeting 80 million units on an annualized basis or about 20 million units exiting Q4. So that would seem to suggest revenue in the range of $200 million to $250 million by the end of this year. I just first want to make sure that these number make sense to you guys, and I have a follow-up.
Sehat Sutardja: Okay. So I will -- first, okay, we never talk about the pricing, okay. With the only exception we say that, okay, the pricing in 3Gs will be -- may not be as attractive as LTE. So I would not want to make comments on the revenue, what's the [indiscernible] of revenue for that. So -- but I do, okay -- but I do want to reiterate that we are still, okay -- we are still, okay, in -- on track of achieving this 10% target for many different reasons. Okay, we have -- as I said, we have the unified platforms. We have customers building products, first customer building second products, okay, and we expect them to build third product and so on over the next couple of quarters. So as more and more of these customers building -- see the benefits of our technology, now could be able to go to quad core, easily to move from dual core to quad core. I mean, like, basically, okay, almost, okay, practically overnight -- well, nothing's overnight but, okay, very easily to move to quad-core solutions and, okay, move to LTE as well. So I do have very high hopes that, okay, we will achieve that 10% target. It's a very challenging target to achieve. Okay, that's granted. Okay, we never say it's an easy target. And we also say that this is the target that is that -- and any targets that's less than that, okay, is -- meaning to say, we're not seriously in this business.
Romit J. Shah - Nomura Securities Co. Ltd., Research Division: I was just curious, then, as a follow-up on what the trajectory might look like. You mentioned April would be up. But is it your expectation that revenues grow every quarter subsequent to that?
Sukhi Nagesh: For Mobile and Wireless, yes. I mean, I think that's probably an accurate assumption, Romit.
Operator: I'd now like to turn the call over to Sukhi Nagesh for closing remarks.
Sukhi Nagesh: Thank you, Sean, and I'd like to thank everyone for their time today and continued interest in Marvell. We look forward to speaking with you in the coming months. Thank you, and goodbye.
Sehat Sutardja: All right, thank you.
Operator: Thank you for joining today's conference. This concludes the presentation. You may now disconnect. Good day.